Operator: Good day, ladies and gentlemen, and welcome to the second quarter Stoneridge earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host for today, Mr. Kenneth Kure, Corporate Treasurer and Director of Finance. Please proceed, sir.
Kenneth Kure: Good morning, everyone, and thank you for joining us on today's call. By now you should have received our second quarter earnings release. The release and accompanying presentation has been or will shortly be filed with the SEC and has been posted to our website at www.stoneridge.com. Joining me on today's call are John Corey, our President and Chief Executive Officer; and George Strickler, our Chief Financial Officer. Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although, we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found in our 10-K filed with the SEC under the heading forward-looking statements. During today's call, we will also be referring to certain non-GAAP financial measures. Please see the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. John will begin the call with an update on the current market conditions, operating performance highlights, and our growth strategies, business development and his thoughts on future initiatives. George will discuss the financial and operational aspects of the second quarter and our outlook. We have prepared and published an earnings presentation to provide more detailed schedules to help you understanding of our second quarter results and trends for our continued improvement. A copy of these items can be found on our website at www.stoneridge.com in the Investor Relations section. After John and George have finished their formal remarks, we will then open the call for questions. With that, I'll turn the call over to John.
John Corey: Thanks, Ken. Good morning, everyone, and thank you for joining us on the call today. We've seen some solid improvement across many of our core businesses over the last three quarters and this quarter kept our momentum progressing. As a result of our initiatives to improve operations, reduce cost, generate better cash flows and reduce debt levels, we've been able leverage this uptick in an activity with improved financial performance. Our second quarter results remained consistent with our expectations and annual guidance that we previously provided. Specifically, on Slide 4, you can see that consolidated revenues increased 3.6% year-over-year to $243 million, driven primarily by higher market activity in North America and improved PST sales. Sequentially, revenue was also up 3% over the first quarter. Our diversified market portfolio mix of automotive, agriculture and aftermarket in Brazil helped us offset the full impact of the commercial vehicle markets in North America and Europe, which are still down compared to the prior year, though they are making modest sequential improvements. We've made a conscious effort to increase the diversity of our business, which has helped us to deliver more stable financial results and is opening up new opportunities to leverage our customer relationships. Operating margins have progressively improved over the last three quarters, going from 3.9% in fourth quarter of last year to 4.4% in the first quarter to 4.9% in this quarter. We posted operating margins in our core business of 4.9% compared to 3.4% in the applicable quarter of 2012. As we continue our lean implementation, we expect to continued gross and operating margin improvement. This consistent improvement has also dropped to the bottomline, as earnings per share have progressed from $0.10 per share in fourth quarter of last year to $0.15 per share in the first quarter and came in at $0.21 a share in the second quarter of 2013. Over the last year, we've been talking about a series of long-term strategic goals that guide our company. And I'd like to present a quick reminder of those goals, before I get into more detail along with our business segments. Please see Slide 5 for a digital representation of these goals. The first goal is to invest in new products and platforms, such that we can achieve the long-term 6% to 8% per year topline organic growth position in the future. Second, we are focusing on building a more sustainable cost position across all our businesses with a strong focus on continuous improvement. Third, we continue to create an even strongest set of technological advantages that will help us in our development of new products and keep existing products competitive. And lastly, we want to continue to improve our balance sheet and better position the company for the future, so that we can invest opportunistically and better manage the cyclical nature of the business. I'll walk through in a little more detail now, starting with our growth goals. Moving our growth rate from the current consolidated low-single digits up to the mid-single digit range will take some time. However, it's worth noting that many of our core businesses, like Control Devices and Electronics are already operating at these levels today. Part of our growth strategy was to develop, focus and support global customers, who review as technology leaders and who are growing in all regions of the world. In terms of new product wins, our wins in the second quarter reflect our growth initiatives. New and replacement business awards for Stoneridge's core business in the second quarter were $67.4 million, representing $64.8 million in new business awards and $2.6 million in replacement awards. Among the larger new business awards was a shift-by-wire award for a large North American passenger customer that we mentioned on our first quarter call. In addition, we received a wiring and instrumentation award for a North American commercial vehicle customer. In April, we were awarded our first sensor award with a European account for the North America markets, which is a significant achievement, because it is one of our developing emissions technologies. We are also working on additional new platforms for keyless entry and shift-by-wire. These new awards show our business teams are executing our strategy and continue to be focused on increasing the diversity and reach of our products. As we normally do, we will update our current full year growth of $174 million in net new business for our core segments in the early 2014. One of the key objectives was the need to build a more sustainable cost position in a culture of continuous improvement. George, will walk through a forward view of the initiatives we put in place over the last year. But our results show that our commitment to continuous improvement and cost discipline are beginning to have a sustainable impact on our business. Rick Adante, who heads up our operations and his team have been focused on better ways to leverage our global footprint and are making sure we have the right structure, people, tools and processes across the organization to succeed. However, we know we have more work to do, especially on our Wiring segment, and I'll share with you an update on the wiring group in a few minutes. Now, I'd like to spend a little time on the technological advantages that we're building across the company. As an example of this is our recent sub-sensor award. In this instance we were able to win business, based on a simpler, less expensive and better performing sensor than was currently being offered in the market. In addition, our product also features in an integrated diagnostic, which identifies operational problems with the sensor and helps prolong the life of the emissions system. This was an extension of our emission strategy, where we have the expertise and focusing design and development efforts and bringing a superior product to market. Lastly, we have remained steadfast in our commitment to improve our balance sheet over last year. So let's walk through more in details, but we have maintained cash flow generations as one of the primary objectives for 2013. The first half of the year seeing the pace of cash flow generation declined from late 2012, strong results due to increased inventory to support increase in sales levels, but we expect to see free cash flow from here as the year progresses. Strong cash generation has allowed us to reduce our enterprise risk, and make great progress on our debt reduction goals as well. George will provide a summary of our debt reduction metrics. However, we expect by the end of this year that we will be able to achieve 2 to 2.5 times leverage as we head into 2014, and see Slide 14 for the details. Reviewing our segments at a higher level, you can see the breakdown of revenue in each of our segments on Slide 6 of our earnings presentation. Slide 7 and 8, also provide significant detail around our year-over-year and sequential business progress by segment. First, control devices, as a reminder the large majority of revenue in this segment is composed of our automotive and light truck businesses, and geographically we have a strong customer presence in North America. Year-over-year, we saw a topline increase of roughly 8.5% and sequentially control devices increased 3.5% over the first quarter. Sales on our passenger client light truck category really drove these results, as they recorded a 10.5% year-over-year increase due primarily to new product sales. The control device team remains intently focused on leveraging all global changes that are coming with higher emission standard and fuel economy guidelines. The driving force in this segment remains our technological capabilities like the sub-sensor and ship-by-wire new business wins, I referenced earlier. The electronic segment contains most of our medium and heavy truck business and has a strong global reach. Like our control device group, this segment is also performing on a high level and in line with our long-term organic growth goals. Year-over-year the electronics witnessed a topline increase of 17.3%. Sequentially, they are also performed well with sales increasing 9.4% over the first quarter. The electronics group really has a great partnership approach with the global clients in a deep intermittent knowledge of their customers. The team has developed some very strong engineering software capabilities as well, which would help us maintain solid growth for years to come. Let's move into the wiring segment, and I'm going to take a little extra time here today to talk about the work we need to do to bring this group more in line with the performance of our other segments and our expectations. Wiring is about 60% medium and heavy truck and 40% Ag, and predominantly in the North American market. Wiring has for several quarters been impacted by lower overall market demand and share loss by one of our customers. In this quarter the group faced continued ongoing revenue challenges, as it was down roughly 15% year-over-year. Agricultural equipment sales also decreased by approximately 15.5% in the second quarter compared to the second quarter of the prior year. With significant lower volume, we have taken a number of steps to improve our cost structure, increase efficiencies and realign the business. The wiring business fundamentals and performance are based on operating excellence that drives consistent productivity and efficiency. Unlike PST, electronics and control devices which are based on technologies and product innovation to address the geographic opportunities for our global customers. The wiring segment has struggled over the past several quarters, as we adjust the volume demands and realign our production and plant mix to better match our customer realities. We continue to work to position the wiring business that we can better serve our markets and customers globally. We have installed capacity and low-cost facility in Tallinn, Estonia, that service as a global Ag customer for part of their European requirements. We have installed capacity in Suzhou, China that is serving our PST joint venture with competitive wiring harnesses for the Brazilian market, but is positioned to serve the local China market as well. Both of these expansions are in the early stages of business wins. We are beginning to produce wiring harnesses in North American facilities to service in Ag customer in the Indian market. We have been building a global manufacturing network to service key markets beyond the North American market. At the same time, we have continued to adjust the won realities of market and customers. Some examples are that we are closing our Walled Lake wiring facility, which will be consolidated into our Portland, Indiana facility, saving about $1 million on an annual basis. This move will be completed by August 1, and has been contemplated in our guidance. As you remember, we added a new facility in Saltillo in the fourth quarter of 2012 to provide capacity to meet a significant demand uplift from one of our commercial customers requirements. This created additional overhead with investment in both overhead cost and capitals. As the volume didn't materialize, we needed to address this capacity versus the cost of our Saltillo plant. We are qualifying plan and products from other customers to be able to produce products in our three wiring plants in Mexico to better balance our production forecast. Currently, we are moving products to the Saltillo facility in the third and fourth quarter this year to balance the capacity level, to improve the efficiency and cost level for the Saltillo facility. This process was started in the second quarter. During the first and second quarter of this year, we've improved the operating performance of our Chihuahua, Saltillo and Portland facilities. We still have more work to do to improve the performance of our Monclova facility that is running with excess labor, overtime and premium freight. The primary driver of the performance was demand fluctuation, capacity increases and launches of new business. In addition to the points above impacting the wiring business, we have seen recent reductions in our defense orders which are higher margin products in the May and June timeframe, which affect our mix in the second quarter. The wiring business had a negative impact on labor, mix and premium freight in the second quarter of 2013 of $0.11 per share compared to the second quarter of 2012. In addition, wiring sales were $12.7 million lower than the prior year and the decreases were offset by sales increases in other core businesses. Because of wiring, significant exposure to the North American commercial vehicle market, we are to some degree impacted due to the lower volume like other commercial vehicle suppliers. However, we have opportunities to improve the operating performance and are working through the plant realignments and rightsizing the operations. With the actions taken and underway from completing the plant move in August to rebalancing the capacity between the four wiring plants in North America, we should see improvements in the future, as they leverage volume increases as they materialize. Moving on to PST, which as most of you know is our aftermarket in Brazil. PST sales in the second quarter were roughly 10% higher than the first quarter of 2013. In comparison to the second quarter of 2012, PST had a sales increase that exceeded 21% due to strong audio sales in the mass retailer channel and car alarms in the aftermarket and OEM channels. In local currency terms PSTs sales increased 14% versus the first quarter. PST sales volume mix the benefits from cost initiatives and debt reduction taken last year, continue to be key factors in the profitability improvement. PST continues to see very solid gross margin, which excluded $300,000 for purchase accounting with 42.5% in the second quarter of 2013 compared to 40% in second quarter of 2012. The gross margin was maintained in the second quarter of 2013 due in part to the higher sales of audio and car alarms. Lastly, I will quickly touch on our unconsolidated JV in India, Minda Stoneridge. Minda sales decreased a little under 15% versus the second quarter of last year. The sales decrease was driven primarily by a 4.1% reduction in the valuation of the Indian rupee compared to the U.S. dollar and the general weakening of the Indian economy. Excluding the effects of foreign exchange, Minda sales were down about 12.5% compared to the prior year and are being adversely affected by the weaker economic environment in the region. Our share of Minda's net income from operations in the second quarter was a profit of $82,000 compared to a profit of a $91,000 in the second quarter of 2012. In summary, our financial performance, continue to improve in the second quarter and we remain committed to delivering long-term value to our shareholders. The keys to this are the four goals that we discussed earlier, of 6% to 8% topline organic growth and more sustainable cost position, improving technology in our development of new products and our improved balance sheet, so that we can invest opportunistically and better manage the cyclical nature of the business. We are on track with our goals and will continue to update our progress over the year. Now, George will discuss some further details on the quarter as well as the outlook.
George Strickler: Thank you, John. As the markets have been improving over the last three quarters we've been able to benefit from the actions that we implemented during 2002 to improve our operations, reduce our costs, generate cash flows and reduce debt levels. Our second quarter performance is consistent with our expectations of improved profitability. Our second quarter improvement continues to trend up higher sales and gross margin and operating income margin improvement from the third and the fourth quarters of last year, which continued in the first and second quarters of this year from the low point in the second quarter of 2012. As John indicated, revenues in the second quarter were $242.8 million, an increase of $8.5 million or 3.6% over the second quarter of last year, driven primarily by higher market activity in North America and improved PST sales. Revenue continues to improve in the second quarter of 2013 by $7.1million or 3% over the first quarter of 2013 and $20.1 million or 9% over the fourth quarter of last year. The trend of the market has been improving over the last three quarters and from the improvements in our margins we have been able to leverage these revenue gains over the last three quarters. We also believe that with further operational improvement, especially in our wiring business as John discussed, we can leverage our earnings further. We think we are positioned to improve gross and operating margins as the markets continue to recover in the second half of the year, which is what is what is projected in our annual guidance. Our earnings per share in the second quarter of 2013 was $0.21 per share compared to our second quarter 2013 loss per share of $0.13. We posted operating margins in our core business at 4.9% compared to 3.4%, the sales being slightly higher by $300,000. For consolidated Stoneridge including PST, our operating margin has continued to progressively improve from 3.9% in the Q4 of last year and 4.4% in the first quarter of 2013 to 4.9% in the second quarter of this year. Our EPS improved from $0.10 in fourth quarter of last year to $0.15 in the first quarter of this year to now $0.21 in the second quarter of this year. Operating margins excluding PST improved slightly in the second quarter of 2013 versus the first quarter of 2013, rising to 4.9% from 4.8%. PST's operating margins excluding purchase accounting of 8.8% in the second quarter, increased from the first quarter of 6.9% on higher sales, which is due in part to seasonality and mix. Historically, the sales progression of PST is weakest in the first quarter growing each quarter to be in the highest in the fourth quarter. Stoneridge's market portfolio mix of automotive, Ag and aftermarket in Brazil helped enable us to offset the full impact of decline, in the commercial vehicle volumes in North America and Europe compared to last year, the volume has improved sequentially. This market mix combined with the cost reductions in 2012 has benefited our results. Improved material cost as a percentage of sales also continue to improve. The Slide 12 of our deck shows the direct material impacts of these actions on Stoneridge's core gross margins and the PST impact is due namely to the mix of products. In the second quarter, operating cash flow was an inflow of $3.9 million compared to $9.5 million inflow in the second quarter of last year. Following sales in the second quarter of last year and the corresponding decrease in accounts receivable drove the better cash flow performance last year. Second quarter 2013 cash flow was also affected by increased inventory to support increasing sales levels mostly to PST. Slide 4 of our deck has a complete P&L breakout on the second quarter of last year versus the second quarter of this year. Slide 7 identifies Stoneridge core sales of 3.6% increase versus the prior year second quarter, which was primarily from the pass car and light truck business. Slide 9 of our deck identifies the major bridge item differences between the second quarter of 2013 versus the second quarter of 2012 earnings per share. The quarter-over-quarter difference is primarily due to higher volume, lower SG&A cost and cost reduction benefits, partially offset by wiring inefficiencies that John described. We continue to have a positive cash flow as one of our primary objectives for 2013. And as indicated on Slide 14, we improved the total debt to EBITDA ratio from 3.5 times at December 31 of 2011 to 2.9 at December 31 of 2012, to 2.7 times at June 30 of this year. For our 2013 guidance, we expect our debt-to-EBITDA to be in the range of 2 times to 2.5 times by the end of the year. During 2012 we reduced debt by $65.7 million. Our ABL remains undrawn since November of last year. We continue to forecast that we will reduce our net debt by approximately $25 million by December 31 of this year. In addition to our net debt reduction, we've been able to better balance our currency exposures, even though we continue to experience volatility in the Mexico peso, Euro and Swedish krona compared to the U.S. dollar. Our currency exposure expense was $500,000 in the second quarter of this year compared to an expense of $2.7 million in the second quarter of last year. The major contributor of last year's currency expense was the significant U.S. dollar debt that existed at PST. However, the U.S. dollar debt has been reduced to $3 million as of June 30, of this year. John and I share with you today our management team's actions, which address the overall lower production volumes from slowing markets that we experienced from the first half of 2012 to the second half of 2012. Since that time the markets have been improving in both the third and the fourth quarters last year to the first and second quarters of 2013, even though they have not rebounded in North America commercial and Ag business. We expect our third quarter 2013 sales level to be near or slightly better than our second quarter level. Brazil's economy has improved over the last four quarters, but recent events driven from the political and economic situation is starting to show some uncertainty in the Brazilian market. We experienced a softer July than expected, but we'll continue to monitor situation in resulting volumes. The European commercial vehicle markets are expected to improve in the second half helped in part by higher Euro 5 sales prior to the change to Euro 6 in 2014 and higher export sales. As a long-term trend the impact of the emission legislation should benefit not only our controlled device business, but also our wiring business through added content from more sophisticated engines. The commercial business in North America and Europe, the lower in the second quarter of last year continues the trend of sequential quarterly improvement. In addition, the North America passenger car market continued its trend year-on-year and sequential improvement, helped by both higher industry volumes and share gains by the traditional Big Three. And from the market projections and improving sales trends over the last three quarters, we continue to expect second half sales to improve modestly above our first half sales. Even with a flat or slightly improving revenue performance, we have been able to maintain our gross margins at both our Stoneridge base business and at PST to ensure we will continue deliver our profitability and cash flow targets. In 2012, we implemented specific cost reduction initiatives at PST, European Electronics and our Wiring business. We worked diligently since the fourth quarter of 2011 to redesign our products, raise prices to cover commodity cost increases, work with suppliers to drive down raw material cost as a percent of sales, which resulted in an improvement of raw material cost, and net sales were approximately 3.4% in the second quarter of 2013 compared to the second quarter of last year. As we share with you today, the second quarter went mostly according to our plan and we believe we have taken the actions necessary to position the company well for the remainder of this year. We still believe the market dynamics are stable and will grow moderately for the pass car and light truck and Ag markets for 2013. The fundamentals of the North America commercial vehicle market are such that the North America commercial fleet is still running at 6.7 years of age, with increasing maintenance cost and more fuel efficient engines being offered that may lead 2013's Class A market to run in the range of 240,000 to 250,000 units. Our core business sales in the first half of 2013 were lower than the first half of 2012, and we expect our second half sales to be higher than the second half of last year. We believe the cost actions we have taken throughout 2012 will benefit our core business and PST will improve our operating margins as the year progress. We have taken the necessary cost actions in PST. PST sales were lower than 2012 levels in the first half of 2013 and higher levels in the second half of 2013 compared to 2012. Though, the Brazilian government originally forecasted GDP growth in the range of 4% for this year, we have taken a more modest view and have planned a 2% GDP growth rate in 2013, after experiencing lower consumer demand and purchasing power last year. And finally the cost actions we have taken at PST will improve our margins throughout this year compared to last year, and will contribute to continued operating income improvement and cash generation of PST. The key question that remains about Brazil is whether uncertainty in the market caused by the Brazilian's pushback on the recent political and economic events will further hurt the economy. As a result of the actions we have taken, we continue to have confidence that we can deliver our 2013 guidance in both sales and profitability, first at least in February of this year, which featured an EPS of $0.75 to $0.95 per share. We will now open up the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of Justin Long from Stephens.
Unidentified Analyst: This is actually (inaudible) filling in for Justin this morning. So to start off, you've given the three-year goal of 6% to 8% topline growth. And I was wondering, how much of that you already have booked in your net new business, including the new contracts you won this year?
John Corey: Well, as you know (Brian), is that typically our book contract tend to run out anywhere from three years to eight years. So in the coming year, generally it's booked in the 90% to 95% level for 2014, would drop in the range about 80% to 85% in the second year and be about 70% to 75% in the third year. So over the next three years, our book business is pretty firm in our projections.
Unidentified Analyst: And a follow-up, so normally you see a seasonal trend in PST, where there is a sequential improvement in each quarter throughout the year. Is that what you're assuming for the second half of 2013? And how much visibility do you have in that business for the next five months?
John Corey: We have said it before that we are assuming that trend continues for a variety of reasons. One, they have their holidays like Father's Day comes in the second half, third quarter, and then they have of course the Christmas holidays, and it's their summer and our winter. So that is the tendency of why they see sequential improvement. What we can't read and what we can't gauge is as George has indicated was that, if there going to be an uncertainty in the markets with the political and economic unrest that recently has witnessed itself. We have seen some lower sales in the July month, but that's really distributors kind of adjusting inventories right now as we look at it. But in terms of forecast, it really is something that we have to just keep our eye on. We can't say that the aftermarket business is going to react in one way or another. We're just watching what goes on now. In the most recent discussions we had with our team down there, they still feel confident that they can deliver on their results. But again, a caveat, it was as you saw the disruptions that happened in Brazil could be the wildcard factor in this.
Unidentified Analyst: And lastly, so the balance sheet has improved a lot over the past year and it seems like you're in a much better place to look at some acquisitions. Could you just comment on the activity you're seeing in M&A market and the likelihood we see something in the next year?
George Strickler: Well, as you know there has been a lot of activity in M&A at least, but I think one of the things that we're seeing is there is still a level of expectation between debt valuations versus equity valuations. In fact, the spread has never been as large as they are today. We've initiated the process in the company we've engaged in it for probably over six months to the 10 months is that, we've gone a little different approach for building an acquisition strategy inherently and internal with our business groups, especially focusing on controlled devices and PST right now. We're using the by-side activity to really look at, what I call, non-bid auction, kind of, relationships with potential acquisition candidates. We have identified some candidates, but as like any process it's build on relationships and the ability or the timing in terms of when people may want to sell there businesses and then ultimately comes down with the proper evaluation for both us and the potential sellers. So we're clearly engaged in that process now. We're looking at opportunities to take alarm systems into the Asian markets. We'll see if it fits there. We're doing a study now on that. And as I said, we're focusing heavily in the control device side, especially in the sensing business. So I think you'll continue to see us active, but I think it will be in a different form as that we're trying to create a mirage of businesses that need capital to grow, but they also fit in our niche requirements, in either technology or customary geographic need that we have.
Operator: Your next question comes from the line of Irina Hodakovsky from KeyBanc.
Irina Hodakovsky - KeyBanc: I wanted to ask you. You previously provided us with underlying production assumptions for the markets where you operate. And I was wondering if you can tell us a little bit about what your expectations are, if you have change those going into the second half for the Brazilian outlook? And under the same assumption as you are speaking of that the market there is a little bit more uncertain than it was before. Are you taking down your expectations at all?
John Corey: Well, Brazilian market is really, is a large aftermarket business. So for that business we really don't have any projections, because the aftermarket business is kind of consumer demand. On the OE side of the business and the OES side of the business, no, we're not taking down our forecast. We haven't seen anything that would indicate those are dropped. As a matter of fact, even when we look at stuff from Europe and the export sales there, they are still looking at the Brazilian market has been a good market. So from that perspective, we're seeing satisfactory progress. In terms of commercial vehicle market in North America, we're still maintaining in the range, but we expected to see some improvement in the second half. That still hasn't materialized. And so we're still in the range. But we're also seeing share shifts among the customers, which is we've already been impacted by that. I don't think we'll be impacted any further on that. And then on Europe, as George said, we are starting to see some improvement in that business. Particularly what we expect to see in the fourth quarter, as we have potentially a pre-buy for the emission standard going forward and also their export market seem to be strengthening. North American automotive, again, is pretty much consistent with our prior projections.
George Strickler: I think just that a trend in Brazil is that typically they have a much bigger percentage increase in the third and the fourth quarter. We have not built that into our guidance over the course of the year. Our increases in Brazil were really forecast in, sort of, the mid-single digit level and we stayed with that. That is the forecast. We are little uncertain as I mentioned in our talk today is that we've seen a little softening in July. We don't know what that means in terms of the trend. But clearly there are some changes going. But we've been pleased with the progress, as you know, from where we're in the trough in Brazil way back to second quarter. We've seen nice sequential improvements in the third, fourth, first and second quarter. So that part of market has stabilized. Our mix has gotten better. We don't see anything yet that says, it's going to be a significant change from what we've experience over the last four quarters.
Irina Hodakovsky - KeyBanc: And on North American cost side, you have just mentioned you are not seeing an uptick that was anticipated. I'm hearing from some of the suppliers, who have suggested that OEM's are reducing production days here in through July. And they are expecting an actual sequential pullback in production in the third quarter before a pickup in the fourth quarter, anything that you have seen of that sort going on with your customers?
John Corey: Well, we tend to discount our customer forecast, because we've been burnt by that particularly in our largest customers in the CV side. So I would say we haven't seen that yet. What we've been looking for is to see the strengthening of demand and we haven't seen that. So I mean, it's continues in our third quarter to run about at the same rate we saw in the first half of the year. So there has been nothing I've seen or we've seen yet that would indicate that we're seeing that event.
Irina Hodakovsky - KeyBanc: And if I can just talk a little bit about your costs on Slide 9, the EPS Bridge there. In the direct material costs, are these were favorable in the quarter? How much of that improvement was driven by commodity based material pricing? If that could be invariable and what are your planning assumptions with respect to that into the second half?
George Strickler: Well clearly, copper has continued at a lower level. It's been running as you know in the range of about $3.10 to $3.30. That's been pretty stable and hasn't really changed a lot. I think in terms of the other things, the rest of the commodities have not had a large influence over us. And as we shared with you to date, we've made a lot of push over the last really two years on doing better designs and even with our existing products. So we've driven a significant improvement on raw material cost. And I think we see that continuing. We may see some shift in business, especially in the truck volume. We've seen some uptick at raw material, but it's really in relation to the mix of the business with customers. And then as we shared with you to date, PSTs will vary based on what products they're selling, because there is different raw material content, but it will swing probably 3% to 4% to net sales, whether they're selling tracking devices or alarm systems versus audio. I think on the other side of the question is currencies. They'd had some influence. The riyal is trading much higher than I think any of the six factors that was supposed to be in the range of 205 to 213. It's trading at 227 to 230 right now. So that's clearly has an impact in our local Brazilian operation. It's not what I call significant, but we do import about $3 million a month, in terms of dollar component. So that could potentially have an impact somewhere between $150,000 to $200,000 a month. So that could influence the raw material cost. And it's a question, can we get pricing relief and we know the price has got almost sticky in Brazil, with the overall demand and the market situation. But I think for the most part, we've been able to manage, sort of, our currency exposure, the impact that's coming through materials. But I think we're clearly enjoying the benefit of the work we've done over the last two years in raw materials. And we've seen a significant improvement. And we don't see anything in the horizon, except that would change substantially from where we're at.
John Corey: Plus as you might recall, on the copper side, which is our largest commodity, we have exposure, our largest commodity exposure. We have put in place agreements with our customers, where we have pass-through, both going up and down over the certain delay window. But those cushion that blowup going up and they help the customers when it goes down. But it's a better environment for us as a supplier.
Irina Hodakovsky - KeyBanc: And it looks like comps are going to remain at this level into the third quarter and probably ease even further into the fourth quarter, just kind of looking at it?
John Corey: Yes. I would expect that that's what we would continue to see. Copper has been stand, so gradually, if you look that over, it's gradually moving down at sets of band and then less about 324. Now it looks like its move down and that band, as George said is around the 310 to 315 range and it might even go lower.
Irina Hodakovsky - KeyBanc: And then two last questions, one on SG&A drop, it looks like $0.04 of that was PST probably volume driven and $0.08 in the corporations, what type of cost reductions, can you provide examples, please. Are they recurring?
George Strickler: Well, if you remember last year, we took significant cost out of our wiring business in the over hedge structure there. And that cost has remained out of that business. In PST, we did the same thing, started taking significant cost out of their business. So we're not rebuilding those costs and those businesses.
George Strickler: The only left, I think we'll see is, Irina, is that last year we paid no incentive, to our either profit sharing with our people or down to the leadership team. So we could potentially see an uptick based on our performance in that line. But that's the only item that you would see some lift different than inflation.
Irina Hodakovsky - KeyBanc: And then the very last question is on the new business? So can you provide us, is this net of lost business and the cadence of that? When is that coming on board? Is it first half float or second half float or is it 2014 and 2015? Just a little bit more, so we'll not had to forecast it
John Corey: I think in the new business, what we've reported here, looking at more towards 2015, just because of we are, for the bulk of that, in the stages of the design phase and approval phase. We'll start to see packing that product in '14, but major shipments are probably '15.
Irina Hodakovsky - KeyBanc: And is this net of lost business?
George Strickler: Yes. That is net.
Operator: Your next question comes from the line of Robert Kosowsky from Sidoti.
Robert Kosowsky - Sidoti: One quick housekeeping question for you going on. What was the constant currency revenue in Brazil? How many riyals did you do?
John Corey: I think the average rate that we had for the quarter is roughly right around 213 to 215. So as you know it's pretty much lower and weaker than that, but we'll get you the actual rate. I think its 96.6 was the count in the local currency.
Robert Kosowsky - Sidoti: 96.6?
George Strickler: Yes.
Robert Kosowsky - Sidoti: And then, obviously that's could grow up versus last year, which is a really weak quarter in Brazil. I know you mentioned that there is some kind of uncertainty going into next year or going into second half of this year. And I'm wondering how do we think about the margin profile changing? I know you have $108 million revenue, 5% operating margin? How do you think about that decremental margins maybe cost and currencies, a better way of looking at it? If you were at like a 5% or 10% sales declines just because of something bad happening in Brazil and conversely how do you think incremental margins on the upside?
John Corey: We still look at incremental margins run in that range of probably 40% to 45%. Our margins have been changed a lot. The currency impact, as I mentioned, if we can get a price lift, it has an impact of about a $150,000 a month. So that's the question and we've seen that there are a little sticky in price right now in Brazil. So that will be somewhere we'll have to work too. But as you remember last year, when we went through the same situation from the second quarter, it took about five months to get pricing relief in there. And I would venture guess that it will take the same length of process, probably three or four months to work through the mark, I guess, there is a couple of advantages and there is a couple of disadvantages. What's happened in the past is that there was difficulty in the audio side of the business, and we had one major competitor which is a Chinese and they went bankrupt, and so he came out of the market. Those are the positive. And the negative is there is a lot of people now entering who was out of the market before like, a pioneer and some others, that are starting to backfill that gap from one of the two key players exited that side of the market. So you should never rely that you'll get all the benefit. I think the competitive positioning is such that other people have started to feel that void. But right now, I don't think we see a big change in margins in effect. If you look at our growth profile in PST, a lot of the growth is coming from the service side of the business for the future. So it tends to drive higher margins anyway. So our mix of our new growth is really going to be coming from higher margins products. The team down there is implementing a new program to kind of improve our service side revenue. Part of that revenue is really the turnover that you have and the program, the churn so to speak. And our service business is kind of just replacing the churn that we experienced. So we're putting in a new program that, kind of, improved the retention rate and therefore improve the profitability of that business. And that program is rolling out now and will continue throughout the balance of the year.
Robert Kosowsky - Sidoti: And how much I guess along those lines, how much is service as a portion of the revenue and should we just view this as a nice recurring revenue base of PST?
George Strickler: It's about $70 million realized now, I think. And if you look at it overtime that side of the business should grow as we launch the cargo tracker and as the home alarm rolls out. But I would say that our most two ticker programs that are taking longer in the rollout, one on the cargo tracker because people are testing and the fleets are testing that product and it's just like a validation test. They take it for several months and test it out and see what it is. We just, for instance, recently signed an agreement with a large beverage distributor down there to test of product on about 250 of their fleet. And so that's a positive sign. We'll continue to do that. The home alarm market, again, it will take a little bit longer than we had originally forecasted. So we're looking at more out of this year and into next year. But those products as they go out should drive service revenue up further.
Robert Kosowsky - Sidoti: And then I guess, shifting gears on the wiring business. What do you think the marginal profile can look like, and say like a three to five year timeframe? I know you mentioned about $1 million of just lower rooftop expenses, but kind of what marginal profile do you see, as it goes down the road and is this a critical piece to, again, to that 79% operating margin you've got out there?
John Corey: Our objective for the wiring business was to have it ranged between 4% to 6. That's kind of where we see it, as we look at the mix of the product. And we continue to look at that and how we're going to get that business. Part of the big problem here is as that we've talked about is one of the issues with that markets, is that you have to add capacity and you have to be ready for the requirements of your customers? And if they don't materialize, the capacity stays in place and so we're constantly rebalancing that, trying to adjust that. And we were hammered a little bit more than, most with the lower demand of the commercial vehicle market, because of the implications of share loss that we had. So we've spend sometime with that. Now as we look at our forward business models for wiring. You will see continued diversity in our wiring product mix, which will help stabilize the business. And then as you look at it from the plant perspective, again, what you'll find is that the customer at any plant, at any plant, if a customer has a sudden increase or sudden decrease in volume, it really tears apart the plan so what we're doing in this part of the structure is rebalancing our plants, so plants can produce product. So if I have a big demand increase from one customer rather than putting all of that burden in one plant, I will be able to spread it out, amongst the couple of plans and therefore we minimize the impact on my hat. So that's process is underway now. So we fully expect that we'll be able to get that business in the 4% to 6% and with, Rob, the improvements in the operations, which will give us a large lift and then also the diversification of the customer awards.
Robert Kosowsky - Sidoti: Just to that end of kind of moving business around, are you seeing better turnover trends in some of your Mexican plans because I know that's a major ingredient being able to service the customer when the demand comes back?
John Corey: Yes, we have in some cases in particular plant, the problem we saw a large turnover particularly a staff and so that's being addressed. And we're addressing it because as, you know, we re-ramp what we're doing in the wiring business. We've created this center of excellence where we're staffing that center of excellence with very talented, call it, the best and the brightest and they help drive the processes not only for the wiring business, but for our other businesses. And so they will be able to step in as we start lose talent at these other places. In addition to that we have now a comprehensive training program that's going on. Starting on the core side we bring people in and before we used to say we'd have a turnover rate, people would come in and we'd have probably 60% to 70% that would stay out of the system, so to speak. Now, we've drop that down to 40%. So we don't even bother getting them into the process of training and tell we're better. So there is a lot of initiatives that are going on in that regard. Our actual turnover rate for the last two years has improved, but it's not where it needs to be and there is a lot of attention placed on that. And one of the key things, Rob, that we're working on is one of the challenges is when you go up and down in your production forecast every month, so that's really being driven more by customer demands is that it adds uncertainty to our workforce, because you need them, you don't need them the following months. So what our operations team is really starting to focus on is how we balance our production across all four entities that we have to give this more flexibility, we have more stable workforce that we want at the plants. And as you know one of the keys that we had is when we open the new plant that started in 2011 with Saltillo in that plan was really dedicated to some specific products for customers. We've now changed that. Now we're adding new customers into that plant, it helps us rebalance the other two wiring plans in Mexico. And as a result of that I think it starts to diminish some of that volatility and that demand production forecast, which is another key issue for our employees because they want more stability and guarantee that ones they hire in, that they've got a long-term trend with the company as opposed to, I am here for six months, then I would laid off for two months. So that's a very important of piece of what we're doing.
Robert Kosowsky - Sidoti: So I guess this is the goal to have all of your wring contracts approved, to be made at all the different wiring locations and that way you can shift it around as needed?
John Corey: I would say, at least two out of the three Mexican operations, we'd want to have at least that capability, particularly as George said, the balance and the demand for retention of employment. But also when there is a spike going up that we can respond it at spike without having to incur excessive over time premium freight and the other things that normally occur on that. So there are a variety of initiatives beyond just the approval of plants. It's also standardization of certain processes. And from board building to dyes to other things, so that's how you can move product around pretty quickly and all the supporting requirements with it. And those are all underway now.
Robert Kosowsky - Sidoti: One last question, what do you think about the Ag market going into next year? Do you have any early commentary from Deere and they usually start to build in the second half of the year. And I'm wondering, if you have any thoughts on, what that's going to look like?
John Corey: We are starting to build, we'll start that build in the next month or so, start the built for the Deere market. I would just refer you to Deere comments, we're seeing a stable demand forecast from Deere going forward. But I would look to them, as they see their markets. But we see that stable demand and we're building for.
Operator: And your next question comes from line of Jimmy Baker from B. Riley & Company.
Jimmy Baker - B. Riley & Company: I just had couple follow-up, certain points of clarifications. So first on the underlying assumptions in the North American commercial vehicle market, I think you mentioned earlier that you're seeing Q3 kind of in line with first half. But then separately I think you also mentioned that your guidance since assumes a second half uptick. So can you just clarify that and may be quantify the order of magnitude of an uptick that you seem to be baking in for Q4?
George Strickler: Well, Jimmy, I think to look at the different comments that John and I make, is we're still looking at the year to come in between somewhere between 250 to 260. That clearly would indicate that we have an uptick forecast for the third and fourth quarter. We still believe that we're seeing the market share, and John mentioned the market share shift of customers. I think the comment that we may have is that we haven't seen the uptick so far in the month of July. July is fairly consistent with the second quarter and first quarter, which is more at the level of third and fourth quarter last year. So we've heard different versions, some people believe now that it will be a little flatter in the third quarter and the uptick will come in the fourth quarter. So we still have in our guidance that we think we'll run in the year in the 250, 260 which would allude to a increase in the second half. I think the comment that we specifically made, we have not seen that so far in the month of July.
Jimmy Baker - B. Riley & Company: And then just a follow-up on the gross margin guidance. So if I look at the full year of 25% to 27%, you have been below that both quarters thus far, I think or maybe 65 bids below in the front half relative to the low end of the range of that guidance. So is the underlying assumption that should drive us back into that range for the full year, it's simply stronger second half volume and fixed cost leverage or can you kind of walk me through why we should be assuming such an uptick in gross margin? Is that mixed from PST or how we're getting there?
George Strickler: I guess, Jimmy, the way to answer, we will not give up in the top end of the range, we're in the midlevel. If we get there it will be in the bottom end of that range, because the 25% to 27% is really more a longer-term target. I believe that's achievable on 2014. We will see better sales volume in the second half and leverage after that that will start to drive margins closer to the bottom end of that range in the second half.
John Corey: And as we continue these wiring improvements that will add some benefit to that.
Operator: And your next question comes from the line of Tony Venturino from Federated Investors.
Tony Venturino - Federated Investors: I'm going to ask that gross margin question. So maybe just additionally to that you have in the deck that your assumption, is it 205 be it albeit, its 229 or they're about today. So I guess that's going to further impact you, and be a headwind further to get to that low end. And I just was wondering if you can maybe quantify that, how that would impact in the second half? I think that had said something before, but just to get a more clarity on that.
George Strickler: Clearly, I think from the cost prospective, it appears that it will increase our cost potentially up about $150,000 a month. And that will be a question of how we recover that cost. If the rate continues as it is, it's a 227. In fact, there was a lot of speculation. John and I were down in Brazil recently and a lot of the Central Bank commentary was that they thought they could manage it to 205 to 213 for the rest of the year. Well, that clearly didn't work. It jumped within three or four weeks to 227. It's been bouncing between 227 and 230. That clearly will have some impact on our translated sales and dollar gross margin operating income. But I think the positive there is we have very little dollar exposure. So we won't have currency impact, but we will have lower translated operating performance and then potentially the imported dollar cost we have, will cross that $150,000 a month. And it's our question, is, can we recover that at the market. So that will have some impact on Brazil in the second half.
Tony Venturino - Federated Investors: And then, I guess, the another question I had that didn't get asked. It was on your bond issue, kind of, given the rough numbers, it still seems like it's probably not economical for you take that out. But I mean how important is that to you? I mean kind of where is that in your priority to kind of refinance that?
George Strickler: It is in the high priority. Ken and I, we work with it almost every month. We look at current trends and rates. And I think when the fed came out and announced that QE3 was coming off. The first of our concern was, of all of us was, that means rates would go up. I think if they comeback out and reiterated that policy, if they are not pulling back QE3, I think interest rates have improved fairly well and get more stabilized. We think rates would be fairly consistent between now and when we have the ability to refinance it in November 2014. But if we find a window of opportunity, because every month, as you know, with the no called for there is a pre-payment. We have to pay all the infrastructural, the call date, which is November 2014. As those dates move forward, then it gives us the ability with the cost is cheaper versus the interest rate we could borrow at. So we revisit that subject every 30 days and we continually look at it, if there is an opportunity earlier in the November 2014, I think we'll do that, because I think we believe that interest rates will go, our full maturity of debenture goes in 2017. There is going to be a window there that rates will start to move. We think that could be 2015 and 2016. So it's our advantage to go ahead and refinance that debt and push it out in longer-term maturities and markets are opened for about seven to 10 years. And also most of deals are getting done unsecured. So we have an interest of getting an unsecured deal done. We want to push the maturities out and position us, so that we have longer-term money available at lower rates.
Tony Venturino - Federated Investors: And would you entertain the idea of increasing the balance and kind of taking out some of your bank debt or do you like to having that flexibility in there?
George Strickler: Well, I think that's a trade-off decision we have, because availability is always a question. We have the ability we can retire 10% of our current debt. As it stands today with a, call it, 103 that would, say, financially that could make some sense to do it, but also reduces liquidity and availability to have. So there is a number of decisions that we'll make with that, because we talked a little bit about acquisitions before. So that will come into play, in terms, do you want to take out 10% of your bonds or do you want a existing structure. I guess, the existing structure for us doesn't make a lot of sense, because it's a secure deal and we prefer to have an unsecured deal. We're over collateralized today and we like to lock into cheaper rates at a longer-term.
Tony Venturino - Federated Investors: The question I was asking it because some of your high-yield peers have done similar activities, but you are little farther out than they were. So it's probably getting closed up for you guys in the next couple of quarters.
John Corey: We've been watching all the deals getting done. And so it's high item in our list to get done between now and November 2014.
Operator: Ladies and gentlemen, this will conclude the question-and-answer portion on today's conference. I would now like to turn the call over to John Corey for closing remarks.
John Corey: Thank you for joining us on the call. We're pleased with our second quarter results. We have been I think as you've been on past calls with us, we've always been, I would say, cautiously optimistic about what's going on in the markets, in the business. And while we haven't change that trend now there will be a time, not too far in the distant future, where we will become more than cautiously optimistic, we'll become optimistic, because I think we will see the trends of the commercial vehicle market, that market has to recover, whether it's late this year or next year, it will come back. And then we know that North American automotive market is performing well. We're performing well in that market. And then as we look at Brazil, that would be the only other thing on the horizon that we would look and say as we see that get stabilized, we'll have a better look at that. So while we still remain cautiously optimistic, I think that as we continue to make progress, we will be changing that to optimistic, as we see the markets recover. So again, thank you for joining us on today's call.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. And you may now disconnect. Have a wonderful day.